Operator: Ladies and gentlemen, thank you for standing by. Welcome to AptarGroup’s 2019 Second Quarter Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Introducing today’s conference call is Mr. Matt DellaMaria, Senior Vice President, Investor Relations and Communications. Please go ahead, sir.
Matt DellaMaria: Thank you, Howard, and welcome, everyone. Participating on our call today are Stephan Tanda, President and Chief Executive Officer; and Bob Kuhn, Executive Vice President, Chief Financial Officer and Secretary. You can find a copy of our press release as well as the slide presentation file that summarizes our results on our website. We will also post a replay of this conference call on our website. And lastly, today’s call includes some forward-looking statements. Please refer to our SEC filings to review factors that could cause actual results to differ materially from those projected or contained in the forward-looking statements. Aptar undertakes no obligation to update the forward-looking information contained therein. I would now like to turn the conference call over to Stephan.
Stephan Tanda: Thanks, Matt, and good morning, everyone. Thank you for joining us. As you saw yesterday, we reported good second quarter results with consolidated core sales growth of 4% and solid double-digit earnings growth. Turning to Slide 4 of the deck, our Pharma segment continued to benefit from strong sales momentum in the allergic rhinitis and central nervous system categories. We also saw a broad-based increased demand across our other pharma applications including our consumer health care and injectables division. I’m also pleased that we closed on two acquisitions of leading pharmaceutical service companies, namely Nanopharm and Gateway Analytical. It is our strategy to expand our pharma service offerings that support pharmaceutical customers for both small and large molecules to help them accelerate and de-risk the complex product developments. Both acquisitions bring value-added and differentiated analytical, testing and development services for all stages of drug development and commercialization. The expanded services platform will enable Aptar to collaborate earlier with customers to support their drug formulations and delivery requirements as they face increasingly competitive markets and increasingly demanding regulators. In addition to the two acquisitions, we had another interesting pharma-related announcement just last week. The U.S. Food and Drug Administration approved our Unidose Powder System for drug, which is intended to treat severe hypoglycemia in people with diabetes. This marks the first FDA approval of a prescription drug using Aptar’s patented Unidose Powder System and is Aptar’s first combination of a drug delivery device with a solution from Aptar CSP Technologies, as the device is protected by an active polymer container. This is also the first needle-free rescue treatment for severe hypoglycemia. Delivering the drug intranasally replaces the often difficult to assemble injectable kits, which require multi-step time-consuming process of mixing powder and liquid. This launches another validation of nasal delivery as an attractive non-invasive way to administer life-changing and life-saving treatments. Turning now to Slide 5, in our Beauty + Home segment. We are up comparing to a very strong second quarter last year, which included a significant amount of custom tooling sales and a pipeline fill for a customer’s global launch in the personal care market. Both of which did of course not repeat. We continue to make good progress in our transformation initiatives, including the operational improvements at some of our manufacturing facilities that are part of our three-year phased approach and we look to make further progress throughout the remainder of the year and all of next year. Looking at the product on the right, we continue to help our customers bring innovative solutions to market. And in the quarter Monat Studio One introduced a hairspray that features our Twist-to-Lock actuator with a patented nozzle that allows for two dispensing settings. In addition, the locking technology is designed to provide protection during e-commerce shipping. Moving on to Slide 6, our Food + Beverage segment had a strong quarter with increased demand for our dispensing closures, particularly in the food market. The segment continues to benefit from conversion opportunities especially for condiments and dairy products. Some of you may also have read the recent article in the Washington Post that highlighted the differentiating benefits of the StandCap, inverted flexible pouch solution enabled by our pouch fitment and dispensing closure with our SimpliSqueeze valves. If you missed it, just Google Aptar, Washington Post, to find the article. Also Aptar was selected by Nestlé to develop a dispensing closure for the first creamer launch under their Starbucks brand partnership. This custom dispensing pour spout, featuring a unique press-to-open-and-close design provides strong visual appeal, sharp differentiation and added convenience for the Starbucks consumers. Finally, our infant formula closure with a built-in scoop is featured on a line of organic infant formula by Yili, the large dairy in China. So in summary, a good quarter overall with top-line gains in Pharma, and Food + Beverage offsetting some softness in personal care, with strong earnings growth and several new interesting product introductions. With that, I will now turn it over to Bob, who is going to walk through some of the financial details that impacted the quarter. Bob?
Robert Kuhn: Thank you, Stephan, and good morning, everyone. I’ll briefly walk through some of the details concerning our second quarter results. If you are following the slides we published with the press release, you can refer to Slide 7. We reported sales growth of 5% that was comprised of core sales growth of 4%, with a positive impact from acquisitions of 6% and a negative impact from currency rates of 5%. Reported earnings per share increased 30% mainly due to the higher amount of transformation costs incurred in the prior year. As you saw in our press release, our Pharma segment achieved a core sales growth of 10% and an adjusted EBITDA margin of 36%. The strong sales volumes, particularly in the prescription division drove margins for the high end of our long-term range. Core sales to the prescription market increased 15%, primarily due to increased demand for our nasal spray systems used with allergy and central nervous system treatments. Core sales for the consumer healthcare market increased 4% driven primarily by increased demand for our systems used with ophthalmic and nasal sealing products. Lastly, core sales to the injectables market increased 6% as we continue to bring additional molding capacity online to resolve certain production bottlenecks. Turning to our Beauty + Home segment, core sales, excluding acquisitions and keeping currencies constant decreased 3%, primarily due to lower custom tooling sales compared to a year-ago. When we look at profitability, our Beauty + Home segment had an adjusted EBITDA margin of 14%. Margins were favorably impacted by lower raw material costs and our transformation efforts. Looking at sales growth by market on a core basis. Core sales to the beauty market increased 4% mainly due to strong growth across all categories in Europe. Core sales for the personal care market decreased 11%, more than half of which was due to lower custom tooling sales, difficult comparisons due to pipeline filling in the prior year for customer’s global launch and some softness in the U.S. market. Core sales to the home care market increased 5% due to increased demand across a variety of categories, primarily air fresheners and insecticide sprays. Looking at our Food + Beverage segment, core sales increased 10% in the quarter and this segment had an adjusted EBITDA margin of 18%, which was even with the prior year. Looking at each market, core sales to the food market increased 17% due to increased sales of our dispensing closures for sauces and condiments, as well as granular foods and dairy products. Core sales to the beverage market increased 1%, primarily due to increased custom tooling sales compared to a year-ago, which offset weak demand across most categories, and in particular, in Europe, where we believe the weather conditions in the spring impacted our demand. Turning to Slide 8, comparable adjusted earnings per share totaled a $1.15 and rose 10% compared to the $1.05 adjusted earnings per share in the prior year. We also grew adjusted EBITDA by 14% in the quarter, with each segment reporting increases in adjusted EBITDA despite foreign currency headwinds. We expanded our overall adjusted EBITDA margin to approximately 22%. Slide 9 and 10 cover our good year-to-date performance and highlight our 5% core sales growth and 13% adjusted earnings per share growth. Slide 11 refers to our outlook. We are expecting earnings per share in the third quarter to be in the range of $0.91 to $0.97 per share, using an expected tax rate range of 30% to 32%. Our tax rate for the third quarter guidance includes an estimate of the impact of a recently enacted corporate tax rate increase in France. I’d also like to point out that last year’s third quarter adjusted tax rate was 24%. So there is a significant difference in the year-over-year comparison due to the tax rate differential. Also, we are up against currency headwinds and are using a 1.12 euro rate in our guidance, which compares to 1.16 euro rate in Q3 of 2018. I have a few other details to share, and then I will turn it back over to Stephan. In the quarter, cash flow from operations was approximately $144 million, capital expenditures were approximately $73 million and our free cash flow was approximately $70 million compared to $52 million a year-ago. Looking at our balance sheet capitalization, on a gross basis debt-to-capital was approximately 45%, while on a net basis it was approximately 38%, and we remain less than 2 times levered. At this time, Stephan will provide a few comments before we move to Q&A.
Stephan Tanda: Thank you, Bob. In closing, I’d like to leave you with a few key takeaways as shown on Slide 12. We saw 5% core sales growth through the first half of the year with double-digit earnings growth. This was driven by our Pharma, and Food + Beverage segments, which had excellent year-on-year core sales growth. Beauty + Home sales were even with the prior year, despite some challenges. We had improved profitability across each segments. Looking to the third quarter, we anticipate core product sales growth across each segment. Pharma is expected to continue the positive momentum seen in the first-half of the year and while we anticipate product growth in our Beauty + Home segment, some personal care customers foresee weaker volumes in the near-term and we expect lower custom tooling sales compared to a year ago. In closing, we will continue to bring value to our customers and their consumers by continually introducing innovations that can work non-dispensing packaging into innovative product dispensing systems to change with the times and to create innovative technologies, which drives the future of dispensing and drug delivery systems, has always been our key to success. With that, I would like to open it up for your questions. Thank you very much.
Operator: [Operator Instructions] Our first question or comment comes from the line of Gabe Hajde from Wells Fargo. Your line is open.
Gabe Hajde: Good morning, gentlemen. Thanks for taking my question.
Stephan Tanda: Hi, Gabe.
Robert Kuhn: Morning, Gabe.
Gabe Hajde: I think, Bob, you mentioned that the personal care weakness had been isolated a little bit to the U.S. But the forward look comment was that you expect it to persist. So I was curious if that expanded by geography at all or if it’s still mostly isolated to the U.S.? And then, I have one other question.
Robert Kuhn: Sure. So, yeah, the reference to the U.S. was really primarily for the Q2. The other regions weren’t necessarily robust, and so there is a certain element of caution in our Q3 guidance. That’s basically about it.
Gabe Hajde: Okay. And then can you – I have missed a couple of minutes of the first part of the – so I apologize if you guys commented on this. But the CSP acquisition, can you talk at all, how it’s performing relative to – or maybe, I don’t know, acquisition expectations, etc.?
Robert Kuhn: Sure. So we’re very pleased with the performance of CSP and the integration that we’ve accomplished thus far with the legacy Aptar operations. They continue to exceed where our top-line sales forecast are. They are double-digits in Q2. Again, they’re performing above our accretion expectations on a quarterly basis, they were added. They were about $0.03 accretive in both Q1 and Q2. And so we maintain our 10% – or $0.10 per share accretion target on an annualized basis. And as Stephan mentioned, we’re excited about the first joint product that is going to be out in the market very shortly in the nasal Unidose Powder. I think it shows what the technology inside the CSP can do in comparison with our legacy products. So we’re actively promoting that as well as CSP’s core business, which is in diabetes vial containers and the like. And we’re very hopeful in the future that some of the material science technology they have is also has some potential beyond just today, Pharma and Food + Beverage, but potentially also some possibilities within the Beauty + Home segment.
Gabe Hajde: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Daniel Rizzo from Jefferies. Your line is open.
Daniel Rizzo: Good morning. You mentioned the personal care softness is expected to lessen in the third quarter. There has been other companies that kind of serve that market is expecting it continue till the end of the year and potentially into 2020. I was wondering if that’s something you would care to comment on if you have any visibility into that.
Stephan Tanda: Thanks, Daniel. Look, the visibility there is really somewhat limited. We had some last minute cancellations at the end of Q2 or – /deferrals. So clearly, there is some anticipation in the supply chain and things will be soft. We give you quarterly guidance. So our visibility is really to the quarter. These are products we use every day. There is some share shift in the market between different companies. You may have read about that. So there is a lot going on right now. But we are confident that this will return to growth in the longer term as you have those products in your home and so does everybody else in the call.
Daniel Rizzo: Okay. Thanks. And then, you mentioned that there was softness in Europe in the spring, because I think of wet weather or unfavorable weather conditions. I was wondering if there was a catch-up with that in the third quarter.
Stephan Tanda: Yeah, it’s a bit too early to tell, but certainly the weather has gotten a lot warmer, especially in Europe, and that should bode well for the beverage business. We also see some more isolated developments. The Middle East had some regulatory changes. So that might counteract that. It’s too early to see. But certainly, the weather has shifted.
Daniel Rizzo: Okay. Thank you very much.
Operator: Thank you. Our next question or comment comes from the line of George Staphos from Bank of America Merrill Lynch. Your line is open.
George Staphos: Thanks very much. Hi, guys. Good morning. Great quarter. Thanks for taking my question. I jumped on the call little bit late, so you might have already mentioned this, and apologies in advance, if you have. When we look at the commentary on personal care, are you seeing – and you’re not alone here – are you seeing any of the volume softness bleeding into more competitive pressure from your peers in the sector? Or are you not really seeing that? And then, kind of a related question, and ultimately, this is our forecast, not yours. But margins were a little bit off from what we had been modeling. You had a much stronger growth and we are looking forward. Were there any other things in your mix that – aside from tooling that was notable in the quarter for the segments that we should be aware of as we model going forward?
Stephan Tanda: Yeah, let me comment on the first one and then Bob can maybe catch the second one. We don’t really see a shift in competitive behavior with our peers and competitors. Of course, we all see that some of the assets are changing hands, but those are not new entrants. These are just new owners. Within our customers, we do see some share shifts and – but that ultimately has nothing to do with the end demand. And I don’t know whether you – you were on just a couple of minutes ago, but certainly we see softness in quarter three in the personal care sector, both in the U.S. and Europe. But ultimately, as these are broadly used products, demand will return.
Robert Kuhn: George, I can take your comment on the margin. So for us, we weren’t all that surprised, I’m not sure exactly if you were – if you kind of was focused on a particular segment or whether it was on a consolidated basis. But one thing to keep in mind, if it was Pharma related, it still is at the upper-end of the range at 36% understanding that CSP has a slightly lower margin profile on Pharma. So it’s going to have a little bit of a dilutive effect on that. Beauty + Home, in spite of some lower core sales, granted most of it being in tooling, where we don’t have the same margin profile, still was up to 14%. And then, Food + Beverage was relatively flat with last year. So I’m not sure if there was one particular one that we were off from your model on.
George Staphos: No, it is more Pharma and Food + Beverage, but it sounds like your margins in the quarter were as you had expected, plus or minus, there’s always variances. But it was as you expected and there were no significant items that you would call out here on the call.
Robert Kuhn: No. That’s correct, George.
George Staphos: Okay. And then my additional question, I’ll turn it over, to the extent that you haven’t commented already, what are you seeing in terms of Asian luxury good demand and how that might be filtering into your expectations for second half, either better or worse? Thank you, guys. I’ll turn it over.
Stephan Tanda: Thanks. Well, the short story is that we don’t really see an impact on the luxury end of our products, because we see continued good growth in our European sales, which end up in luxury fragrances and skin care in Asia. I think the longer story is that all this trade tension that ought to have or did have a significant impact on consumer confidence in China. I think that’s fair to say. And it’s all of you and we follow the fact that big ticket items, cars, large electronics and so on, those markets have contracted. But we haven’t seen it in kind of personal products like fragrances and skin-care or travel retail. That’s actually been strong and we continue to see that. The last point I would make, sales that we make in China, for China there we do see a softness, but I think that has much more to do that with the fact that multilevel marketers really got hammered by the Chinese government, that was safety and healthcare with some nutritional supplements and that kind of brought the wrath of the Chinese government on multilevel marketers and that’s a significant customer set for us. So there is a lot of churn in China from multilevel marketers to indie brands to e-commerce start-ups, and it’s hard to see who is going to catch the business in the end. The business is still growing, but we see a lot of churn on who supplied the business.
George Staphos: Thank you very much, Stephan. Thank you, Bob.
Operator: Thank you. Our next question or comment comes from the line of Adam Josephson from KeyBanc. Your line is open.
Adam Josephson: Stephan, Bob and Matt, good morning and congrats on a good quarter, as usual.
Stephan Tanda: Hi, Adam.
Adam Josephson: Bob, just one question on guidance, and then Stephan I’ve got one or two on Beauty + Home. Bob just regarding the 3Q guidance, it implies about a $0.20 sequential decline, which is a little more than normal. But the tax rate you’re skewing things a bit, because the tax rate was lower in 2Q, higher in 3Q. So if you adjust for that it’s a more normal sequential decline? Would you say there’s anything unusual in your 3Q guidance, just in light of that? Or I don’t think there is, I just wanted to make sure.
Robert Kuhn: No. I mean, if you try to piece it together, I mean, I think you hit on some of the major points. So obviously, couple of pennies is coming from the higher tax rate guidance that we put out there. Our share count is increasing as we haven’t been repurchasing as many shares as we have in the past, that’s about $0.01. Our corporate expenses are running a little bit higher, that’s $0.02 to $0.03 and that’s our continued investment, not only at the senior level, but in the regions in some of our excellent centers. The FX is probably about $0.02 compared – comparatively and again we see the dollar strengthening again today. So it’s nothing in particular, it’s a lot of little things at all kind of add up to the guidance.
Adam Josephson: Yeah. That makes total sense, Bob. And one on restructuring for either Stephan or Bob. So it’s been going on for a year-and-a-half, you, I remember, guided to $80 million of cumulative savings, most of which, correct me if I’m wrong, were to come in Beauty + Home. Beauty + Home EBITDA is up $16 million in the last year-and- a-half since the program started compared to that savings target of $80 million. So I am just wondering if the restructuring program is as you expect it to be or Beauty + Home has been just more difficult than you imagined it would be such that the $80 million of savings will be more difficult to come by then perhaps you thought when you announced a program.
Robert Kuhn: Let me take that one. I think fundamentally we are halfway through a three-year transformation and just the reminder for everybody, the year one was really focused on top-line and quarter two notwithstanding, we are very happy with the top-line development. We feel good about the pipeline, the definition of the pipeline, and of course, things happened, but we can react and have a good grab on the top-line. The second at the year, which is in the middle of the year which we are in, is all about the operational improvements. We feel good about some of the operational improvements we’ve made at our decorative side, the anodizing [site and NC] [ph] has come back strong. We have still further to go. And then – at several sites, and then the third year is all around, further finding footprint, reducing head count, particular in SG&A in Europe and in some of the support functions, those things are being discussed with the works council. As you know, we have 5,000 people in France, these processes take time, but they are all slotted in. So overall, we are on track, feel good about the transformation. Remember the $80 million was the gross number. But we ended with an EBITDA improvement number, not all savings, those are top-line growth. But we feel good about the transformation. It is designed to get us comfortably back into our EBITDA margin range of 15% to 17% for Beauty + Home. So we expanded to 14% now from 13% and so overall feel good about it, and we are on track. You always have challenges, but the organization has become much, much quicker to react and much more skilled to attract – attack issues as they arise. So you also can see that the muscles there have been built up.
Adam Josephson: I just wanted to – thanks, Stephan, and just one last one on that. The same sort of topic just under your predecessor, the Pharma segment thrived and Beauty + Home would just have just occasional slip-ups either market related or otherwise. And it just seems like a more difficult business to manage and it’s more competitive business. Would you say that’s changed fundamentally under your leadership? I mean, it just seems like it’s still been much more difficult to manage than has Pharma since you took over? Correct me if you think otherwise.
Robert Kuhn: Well, I wouldn’t pin this on predecessors and current leaders. But clearly the transformation has turned what was nine quarters of declining or flat sales into seven quarters of growing sales. So that is a fundamentally – the result of a fundamentally different approach, in addition, of course, good macroeconomic development. But to your larger question, the consumer-facing businesses, Food + Beverage, and Beauty + Home are fundamentally different animals in terms of their rhythm, their cadence, you’re talking of a constant customer project churn, that’s why it’s so important that in our commercial efforts we track customer projects, customer win rates, on a weekly basis take corrective actions. That’s the nature of any consumer-facing business. And we have a much better handle on the customer project pipeline, conversion rates and so on. It’s just becoming better at executing against that business. Now the Pharma business is a much more long-cycle business, so whatever we put in the pipeline we harvest five, six, seven, eight years down the road. We commented several times at some of the great success stories. The seeds were sown 10 years ago, so it’s a much longer-cycle business. What connected to is, of course, that the product technologies, in many instances the same, just you do it in the clean room on the older pharma quality systems and so on. And you execute towards different quality standards. And therefore, we can leverage across everything around operational excellence, enterprise systems, and so on, as well as talent. So you will see that the leaders often move from one business to another, because the fundamental operations logic is the same even though the commercial business development logic has a very different timeline.
Adam Josephson: Thank you, Stephan.
Operator: Thank you. Our next question or comment comes from the line of Ghansham Panjabi from Baird. Your line is open.
Ghansham Panjabi: Hey guys, good morning.
Stephan Tanda: Good morning.
Ghansham Panjabi: I guess, first off, going back to 2Q, can you just aggregate, Bob, for us volumes versus price across the three segments. I’m just trying to get a sense as to how any pricing component from previous resin fluctuations et cetera, flow through in the quarter specifically?
Robert Kuhn: Yeah. So I mean, specifically talking about resin in terms of sales growth, it was on the consolidated basis about 1% positive on the resin pass-throughs, positive on the Beauty + Home side, negative on the Food + Beverage side. Relating to the volumes, I mean, I think we had some weaker volumes in Beauty + Home, which were offset by some pricing that we’ve implemented as part of the transformation and then the other segments were primarily volume related in terms of the growth in both Food + Beverage and in Pharma.
Ghansham Panjabi: Okay. Understood. And then on the 3Q guidance and the tax rate being higher, partly because of the French tax increase and it’s being retroactive. Should we assume that 4Q will be lower sequentially than 3Q, just given that retroactive nature that’s impacting 3Q? I’m just trying to think about the tax rate 4Q onwards.
Robert Kuhn: Yeah. No. That’s a good call. I mean, it should be lower because we get – we’ve got to catch up, which is essentially a couple of pennies in Q1 and Q2, that’s going to have to be booked along with Q3. So yeah, I mean, we’ve been saying that our tax rate is somewhere between 29% and 31% on an annualized basis. So it would – it will move up slightly, but definitely less than where our Q3 tax rate guidance is.
Ghansham Panjabi: Okay. And then, just one final one. I think in your prepared comments you called out personal care being down 11% year-over-year, half of it was lower. Tooling sales, you had a tough comp from pipeline sale and then U.S. being softer. Can you just give us more insight as to what – how exactly the U.S. business in terms of personal care progressed during the second quarter. And then, just thinking more broadly, I mean, you have a lot of complexities, right, you have Brexit, which will occur. Europe had slowed, China looks like on a slowing trajectory and the U.S, the jury is out as to how the consumer is going to progress as we head into the holiday season. But just more broadly, what are your customers sort of indicating as it relates to the upcoming holiday shopping period et cetera?
Stephan Tanda: I think overall, Ghansham, I would say, we feel good about the new project pipeline we have. Of course, Pharma is going very well, and we do not see that fundamentally changing, but also Food + Beverage, and Beauty + Home has good new customer project pipeline. You’re pointing out clearly, yes, the economy is slowing. Now, that had some impact on this personal care business, as we discussed, but I don’t see strong signs of a slowdown in what we hear from customers.
Robert Kuhn: And then particularly, Ghansham, maybe on a geographic basis, and it’s going to tie-in with the comments that we’ve mentioned already. The U.S. was down not only in personal care, but also in Beauty in Q2. Europe was – while it was up, was primarily related to the growth in the Beauty side of the business. Personal care was actually down a little bit in Europe. And then in the other two regions, Latin America, we were down slightly and that was kind of a mix between personal care being flat, and Beauty + Home care being down. And then in Asia for the reasons that Stephan had mentioned previously, we were down in all markets. The one exception is that tooling in Asia weighed negatively on the personal care. Actual volumes in Asia of products were actually up slightly.
Stephan Tanda: Yeah, the one add I would make is, Brazil is certainly doing a little bit worse than what we would have expected. The rest of Latin America is better, but Brazil is not where it should be.
Ghansham Panjabi: Okay. Understood. Thanks so much.
Operator: Thank you. Our next question or comment comes from the line of Neel Kumar from Morgan Stanley. Your line is open.
Neel Kumar: Hi. Good morning.
Stephan Tanda: Good morning.
Robert Kuhn: Hi, Neel.
Neel Kumar: I was curious, if you discussed what level of growth you’ve seen in your CNS applications? And then approximately what percentage of the Pharma portfolio does CNS represent now? And how large do you think it can get?
Stephan Tanda: Yeah. Thanks, Neel. The short answer is, we don’t really give guidance on that detail. I know you’ve done a lot of work in this area. We really only give the breakdown by Rx, meaning prescription, consumer healthcare and Injectables. And Bob mentioned the growth rates, and I think it’s also nice to the injectables has come back to a nice 6% growth rate, but we don’t break it down further into the sub categories.
Neel Kumar: Okay. And then, I think in your outlook, you mentioned that you expect Pharma to continue to positive momentum seen in the first half of the year. Can we take that to mean that Pharma core growth should continue at the higher end of your 6% to 10% range in the second half of the year?
Stephan Tanda: Yeah. We’re very comfortable with our ranges that we put out there in the 6% to 10% for Pharma.
Neel Kumar: Okay. And then just lastly in Food + Beverage. I was just curious what type of impact do you see over the next few quarters from the Karma Beverage Closure launch?
Stephan Tanda: It is an exciting launch. It’s interesting new technology, but please keep in mind that every – any single launch, any single product doesn’t move the needle. We have hundreds and thousands of products. And if they started trend and get rolling and get multiple followers, like for example, with the flexible stand up pouch, then it starts to move the needle, but any single launch will not move the needle.
Neel Kumar: All right. Thanks.
Operator: Thank you. Our next question or comment comes from the line of Chip Dillon from Vertical Research. Your line is open.
Salvator Tiano: Yeah. Hi, this is Salvator Tiano filling in for Chip. Thanks for taking my question. Firstly, I wanted to ask about your recent acquisitions in Pharma. Can you elaborate a little bit on how they’ll impact your financials? And I guess, if there is going to be any small revenue boost and/or if it’s more on margin and helping you maintain a very stronger Pharma growth rate? That will be the first question.
Stephan Tanda: Yeah. One is, we’re very excited about both. They are quite a bit different in size, they are both profitable and will contribute or already contributing to our results. So those are not research projects, those are profitable businesses that will – are supporting the Pharma financials. But more importantly, it is really a strategic play to strengthen and build out further our services. As you know, we fought many years, we had small Pharma services businesses that helped particular in the nasal delivery, Gateway Analytical, in particular, also has a strong service offering around injectables, testing and Nanopharm really helps in the early stages of drug development, again, supporting our inhalation and nasal delivery. And that will allow us just to add more projects into the pipeline, support customers better in the pharma world. More and more you see smaller start-ups, so called two people with one molecule. Companies getting into the act and they need everything they can possibly source from service providers to get through the regulatory process to get samples to support them in the clinical trial setting. Of course, we charge for those services, that’s their business model. At the same time, of course, the device that we then deliver is part of the Drug Master File and guarantees decades of business afterwards. So that’s really the model. And since many of these early stage pipeline projects are smaller companies, not the large pharma companies, they need these services and that drives the business.
Salvator Tiano: Perfect. Thank you very much. And just building a little bit on Pharma and on the previous question you did mention you’re very comfortable that 6% to 10% rate. And generally, you’ve been on the higher end for quite some time now. What would it take you for that 6% to 10% to change to be perhaps revised higher? And do you have any visibility towards 2020 with regard to volume at Pharma?
Stephan Tanda: Again, we stand by our targets for all three segments, by the way not just for Pharma. We see no reason to change them. And we said previously that we don’t expect double-digit growth rates in Pharma forever and they are more getting back into that range. We certainly had a number of tailwinds, but we also don’t see any headwinds coming.
Salvator Tiano: Okay. Understood. Just changing a little bit, segments, I guess, in Food + Beverage your margin did decline from a year ago. And I’m wondering, were there any specific cause that led that, because volumes were pretty good and I think you mentioned you had a benefit from tooling sales that customarily helped the margin. So it was a little bit surprising for us to see the percentage margin being lower.
Robert Kuhn: So I mean, I can give you a couple of things. It’s primarily mix on the product sales. And also actually Food + Beverage had stronger tooling sales, which traditionally bring lower margins not higher margin. So that would negatively impact the Food + Beverage margin in the quarter.
Stephan Tanda: I mean, sorry, I can’t resist to add on here. Of course, we are accountable and deliver every quarter and give you a lot of transparency, but after it’s really a long-term growth story. You will have moving parts every single quarter. We’re just talking about that Pharma business is very solid, but remember in quarter one, injectables that didn’t grow, but quarter two, we’re back to growth. Food + Beverage volumes for the second half of last year were not that great. Now we have a well growing Food + Beverage business again. So it’s not a single quarter. But when you look at the long-term compounding story with a good pipeline and the transformation, we feel good about the further growth prospects of the business.
Salvator Tiano: Great. Thank you very much.
Operator: Thank you. Our next question or comment comes from the line of Edlain Rodriguez from UBS. Your line is open.
Edlain Rodriguez: Thank you. Good morning, guys.
Stephan Tanda: Good morning.
Robert Kuhn: Hi.
Edlain Rodriguez: So are you seeing or expect to see any impacts from the environmental backlash against plastics? That’s one. And related to that, there seems to be a trend toward that could larger closures, maybe instead of like multiple smaller ones for single-use products. Is that good or bad for you?
Stephan Tanda: Well, the – excellent question on sustainability. Actually, this is a net positive for us. When you think about it, most brand owners, if not all of them, have made some kind of commitments that they will increase their rate of recycled content or the recyclability of their products. And they need partners like Aptar to make that happen. So we have more customer projects around how to help them meet those commitments. We on previous calls talked about, for example, Flip Lid, which allows to replace the disposable cap on water bottles with one that stays with the cap. We have products with up to 100% post-consumer recycled content. We participate in pilots like Loop, where we are on top of reusable containers, and discuss making products that can be reused also from the dispensing system. We are looking at partnering with people who can make food-grade propylene that’s recycled. So, many activities going on. The industry is going and we’ll have to continue to go through an innovation push to meet those commitments they’ve made and progress more towards a circular economy. And ultimately, that drives customer projects and that’s our lifeblood. We continue to innovate and help customers meet their commitment. And we are really agnostic, whether we’re on top of a plastic container or aluminum container or glass container or carton for that matter, or a flexible pouch. In the end this stuff still needs to come out in a consumer-friendly convenient way. And we can make that recyclable, 100% recycling content or even reusable depending on what the customer and the consumer experience demands.
Edlain Rodriguez: Yes, thank you.
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of Kyle White from Deutsche Bank. Your line is open.
Kyle White: Hey, good morning. Thanks for taking my question. I know we touched a lot of it on the volume targets in Pharma in terms of the long-term targets we have set out there. But also curious in terms of the margin targets that you have. It’s been about five quarters now, we are at the high-end or above this target. And I know you have an Analyst Day coming up in a month or so here, where you typically kind of update these targets. But just curious if there’s anything specific that maybe gives you pause in terms of raising this margin target for the long-term?
Stephan Tanda: No, not really. But again, let’s not discuss the Analyst Day. Look, I don’t see any reason at this stage to change the target. It is a very long-term business. You need to continue to reinvest in the business. We talked on earlier calls that we’re building a whole group around connected devices. And we are building up a services business capability. So if you don’t invest in this business and reinvest in this business, you will not drive the growth engine. So therefore, we feel comfortable with the range that we’ve got out there.
Robert Kuhn: Yeah. And I would add that as we’ve said in the past, the margin is highly dependent on the mix by division. And so, we’ve been benefiting in recent quarters from very strong growth in the Rx division. We see good opportunities really across all four of the divisions, now including the active packaging division of CSP. So that margin profile is going to ebb and flow, depending on where the growth is coming from division.
Kyle White: Understood. And then, Bob, on M&A, just how would you characterize the kind of M&A pipeline that you see right now? And what exactly – how do you also characterize the valuations that you’re seeing out there?
Robert Kuhn: I would say not much change. It still is pretty active out there. We continue to monitor the market. I don’t see any big change either up or down in the valuations at this stage, but it’s something that we try to stay close to, but I don’t see any significant paradigm shifts either way from where it’s been previously.
Stephan Tanda: Yeah. You have seen us pursue an active M&A agenda, made smaller deals like Reboul and the smaller pharma acquisitions, made bigger deals like CSP. We continue to look at a lot of deals, but remain disciplined. We’re walking away from so many more deals than you see us announcing after doing some serious work. And in the end, we are a disciplined acquirer.
Kyle White: Thank you and good luck in the quarter.
Stephan Tanda: Thanks.
Robert Kuhn: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Anojja Shah from BMO Capital. Your line is open.
Anojja Shah: Hi, Good morning.
Robert Kuhn: Good morning, Anojja.
Anojja Shah: Good. My first question is, in your outlook this year CapEx is quite a bit higher than D&A. And can you give us a sense of where that capital is going. And also, do you expect it to remain at an elevated level for the next couple of years?
Stephan Tanda: So I can take that one. So, yeah, it’s been – it’s increased from some of our historical levels. About half of the CapEx that we have in there is coming from both new product introductions as well as capacity increases. I think we talked about on some previous calls that we were getting a little bit capacity constrained in some of our Pharma product lines due to the strong growth that we’ve been experiencing and the growth that’s in the forecast. So we’ve had to reinvest a little bit in capacity. And then our focus around innovation has been positive. We also have the $55 million that of capital that was part of the transformation plan that we spent roughly about half of to-date. And then of course, you got to add in the CapEx for the CSP acquisition, as we invest in some of those new deals. And then, maybe your – maybe your other question going forward. I would imagine, we’re still going through the budget for next year, but we’re expecting capital to be kind of flat moving out from here. But again, I don’t see that as a negative as – our best investments that we make are investments in ourselves. And as long as we continue to see profitable innovations on the horizon, I think that’s a great use of our capital.
Anojja Shah: All right. And then, switching over to the tax rate, I know it’s going to be elevated, because of the French tax rate change. Any sense of what the tax rate should be in 2020? And will that remain well above the mid-20s?
Stephan Tanda: I’ll tell you what, if you can tell me where our share price will be in 2020, I can tell you whether it will trend up or down. The biggest variable right now in volatility in our tax rate still comes from stock option exercises. We still have – even though we’ve moved to issuing restricted shares and away from issuing stock options, we do have several years left out there that are remaining to vest. And obviously, this quarter, Q2 was a good example of that. As we reached all-time highs in the share price, we tend to see an uptick in option exercises, which then by definition will drive down the tax rate. So the other big unknown out there is what are the governments going to be doing in terms of trying to raise revenues, right. I mean, this French tax retroactive increase, while it was on our radar, six, nine months ago, we were expecting decreases in the French tax rate. So, I would say, all else being equal, we would expect the tax rate next year to be kind of in that 29% to 31% range, plus or minus though any one-offs that may occur.
Anojja Shah: Okay. Thank you.
Operator: Thank you. We have a follow-up question from the line of Chip Dillon from Vertical Research. Your line is open.
Salvator Tiano: Yeah. Hi guys. I have a couple of questions a little bit on buybacks and the share count. Firstly, you mentioned haven’t done as many buybacks. Can you update us a little bit, how much have you allocated toward buybacks this year, if any?
Robert Kuhn: We don’t necessarily look at it on an allocation basis, right. I mean, we look at everything kind of holistically and we did a couple of deals already this year on the Pharma side. We look at on the horizon what does our CapEx look like. We’ve raised the dividend again earlier. So, I mean, we look at it kind of from a holistic approach. And we don’t really target an amount to buyback. We try not to lock into something. But I would say that we probably will see the share count gradually increase like we’ve seen so far. That’s about all I can really tell you.
Salvator Tiano: And yeah, just building a little bit on that, was there anything unusual in the quarter with regard to dilutions. I think it was a pretty big bump on the basic share count sequentially. So were there any specific actions, incentives? And you mentioned kind of a change in the incentive structure away from options. Does this mean we would see, for example, more basic – higher increase in basic share count, but kind of the gap between now basic and diluted share count; I think historically around 3 million shares is going to narrow?
Robert Kuhn: Yeah, I mean, it’s hard to say. We had a – as I mentioned earlier, we had a very strong quarter in option exercises. And we repurchased only about 34,000 shares in the quarter. So that really is the primary reason for the share count increase. Yeah. I mean, dilution calculation is also highly dependent on the share price and I haven’t really run what that looks like going forward.
Salvator Tiano: Okay. Perfect. Thank you very much.
Operator: Thank you. I’m sure no additional questions in the queue at this time. I’d like to turn the conference back over to Mr. Tanda for any closing remarks.
Stephan Tanda: Great. Thank you. Thanks to everybody for joining us. We look forward to see you on the road. Enjoy the rest of the summer.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.